Operator: Greetings, and welcome to the American Homes 4 Rent Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participants are in a listen only mode. A brief question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Anne McGuinness. Please go ahead.
Anne McGuinness: Good morning. Thank you for joining us for our fourth quarter and full year 2020 earnings conference call. I am here today with David Singelyn, Chief Executive Officer; Bryan Smith, Chief Operating Officer; Jack Corrigan, Chief Investment Officer; and Chris Lau, Chief Financial Officer or American Homes 4 Rent. At the outset, I need to advise you that this call may include forward-looking statements. All statements other than statements of historical facts included in this conference call are forward-looking statements that are subject to a number of risks and uncertainties that could cause actual results to differ materially from those projected in these statements. These risks and other factors that could adversely affect our business and future results are described in our press releases and in our filings with the SEC. The current and expected future economic impact of the COVID-19 pandemic, including extraordinary increases in national unemployment, may pose headwinds to our future results. All forward-looking statements speak only as of today, February 26, 2021. We assume no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. A reconciliation to GAAP or the non-GAAP financial measures we are providing on this call is included in our earnings press release. As a note, our operating and financial results, including GAAP and non-GAAP measures, are fully detailed in our earnings release and supplemental information package. You can find these documents as well as SEC reports and the audio webcast replay of this conference call on our Web site at americanhomes4rent.com. With that, I will turn the call over to our CEO, David Singelyn.
David Singelyn: Thank you, Anne, and good morning everyone. Thank you for joining us today. I hope you're safe and well. We are thinking of those in Texas and other states impacted by the recent winter storm. Our top priority is the safety and well being of our employees and our residents. We are working with our residents who have been impacted. While there are many homes with minor damage, there are relatively few homes with significant damage. We maintain insurance for such events and do not expect the financial impact to be material to the company. 2020 was not the year we envisioned 12-months ago. The pandemic has impacted all aspects of our lives, our business and our homes. For our residents, our homes became their offices, their schools, their gyms, their vacation destinations and their safe havens. I am very proud of our company's performance during these unprecedented times. And I'm excited about 2021 as we continue the path of 2020 with record breaking success. Our ability to grow profitably and deliver operational excellence in such a challenging year is a testament to the unique company we have built, our experienced leadership team and the strength of our platforms. While 2020 was a difficult year for many in the real estate sector, our business model truly set us apart. For American Homes 4 Rent, the pandemic shined a spotlight on the resiliency of our industry and the quality of our platform. The demand for single family rental homes is stronger than ever before, and we expect this strong rental demand to continue, if not accelerate, in 2021 and beyond. Our differentiated investment and growth strategies are paying off and continue to be validated. These strategies, combined with our investment grade balance sheet, keep us flexible and nimble. This enables us to succeed, grow in every market cycle, take advantage of opportunities and adapt and respond to changes. Our development and operational platforms provide our residents with a quality housing experience but they also embrace environmental sustainability. The homes built by AMH Development are energy and water efficient. So durability of the products and materials we use provide a well functioning and easy to maintain home. In addition to providing housing for our residents, we are also focused on our communities and our employees. We continue to give back to the communities where we live and work through corporate and employee volunteering and charitable activities. And as the industry leader, we strive to maintain a diverse workforce, and are attracting and developing the best talent in the industry. During 2020, we continued our focus on corporate governance through our board of trustees refreshment process. Ken Woolley was named Chairman of the Board last May. Looking forward to 2021, we recognize it will be another unique year of opportunities and challenges. The impact of the COVID pandemic remains. We do not know when life will return to normal. But what we do know is that we are well prepared for the challenges that we will face. So what should we expect in a post pandemic world? We do not know for certain. What the housing data and trends do tell us is that migration to suburban single family rental homes was occurring before the pandemic, is accelerating and is here to stay. The pandemic did not changed these trends. It's simply shined a spotlight on the value proposition that single family rental home living offers. Now more than ever, people value extra living space, private yards and a sense of neighborhood community. We are starting 2021 with more positive momentum across all disciplines than at any time in our history. From an operations standpoint, we are positioned to have a strong year. While rental demand for our homes is stronger than we've ever seen, this demand continues to grow. Our occupancy is at an all time high. Our rental rate growth is robust. And our collections remained consistently strong during these pandemic times, resulting from our outreach to and good relationships with our residents. And from an investment standpoint, this is where the opportunities truly lie. 2021 will pick up where 2020 left off with a program designed around growth, growth, growth. There has been and remains a national housing shortage. The number of household formations the past decade has consistently outpaced new housing stock. This combined with the desire of families to migrate to single family rental homes has created excess demand for our available inventory. This demand creates a need for additional quality rental homes. Our strategic priority is to meet this need through significant growth. As the nation's leading builder of single family rental home communities, we have the unique ability through our development function to add new rental home supplies that generates the best economic return of all of our available growth channel. The expansion of our development program in 2020 resulted in us opening a new community nearly every week. 2021 will continue the acceleration of development deliveries and in the acquisition pace of land. Our target is to have our investment and land be less than 5% of total assets. Today, we control nearly 10,000 lots and have capacity for more. By the end of 2021, we expect to control between 11,000 and 13,000. These lots will become furture home deliveries over the next four to five years. And lastly, from a financial standpoint, we built our strong balance sheet and capital structure for times like these. It provides us the ability and flexibility to make long term investments and enable growth through all economic cycles. Given these positive trends and our confidence in our platforms, we have initiated guidance for 2021 with the industry leading core FFO growth per share of nearly 8% at the midpoint. This builds on our 4.5% growth in 2020. Furthermore, while we strive to maintain much of our operating cash for reinvestment into our growth programs, our cash flow and taxable income growth dictates the need to increase our distribution level. Beginning with the march distribution, the quarterly distribution rate on our common stock will double from $0.05 per share to $0.10 per share. And as our cash flow and taxable income continue to grow, it will necessitate further increases in our distribution rate. At $0.10 per quarter or $0.40 per annum, our payout ratio will be approximately 40%, which still prioritizes our continued objective of retaining cash flow through accretive reinvestments, but also provides a long runway for continued future dividend growth. My hope is that 2021 returns us to a normal that is more akin to pre pandemic times. Regardless of the environment we operate in, American Homes 4 Rent will always provide our residents with quality homes that meet their housing needs. I am excited about the year ahead as we continue to successfully execute on the company's strategy to drive growth, create value and advance our plans to deliver greater shareholder value. And now, I'll turn the call over to Bryan to provide greater operational details.
Bryan Smith: Thank you, Dave, and good morning everyone. Our operational finish to 2020 can best be summarized in two words, record breaking. Demand for single family rentals continues to impress. COVID has highlighted the benefits of suburban living and people are prioritizing quality of life decisions like never before. As an example, virtual meeting tools have created a fundamental shift for many professionals, allowing them to choose where they live regardless of the location of their office. This coupled with the incoming wave of millennials who are entering prime single family living years has created unprecedented demand for our well located homes. Within our portfolio, demand continues to accelerate. In the fourth quarter, our showings per rent ready property were up almost 60% from the fourth quarter of 2019. Notably, we saw 30% year-over-year increase in applicants coming from states outside of our portfolio footprint. Our people empowered by our innovative technology platform continue to turn this demand into all time highs in occupancy and rate growth. I could not be more proud of the team's accomplishments over the past 12 months, which has created great momentum entering the New Year. As mentioned earlier, we continue to set new company records in the fourth quarter. For the same home pool, average occupied days at an all time high of 97.3%, which is 210 basis points higher than it was in the fourth quarter of 2019 New lease spreads also set a record at 7.6% for the quarter, which is over 600 basis points higher than those of the prior year. Looking ahead, we entered 2021 with a sense of confidence and preparedness. Our team and best in class operating platform are well positioned to tackle the opportunities, challenges and uncertainties that may arise in the coming year. First, we believe that demand dynamics fueled by migration, population trends and changing customer preferences are here to stay. We say this with confidence based on the tremendous amount of information we capture, whether through market and application data, move-in surveys or on the ground feedback. Second, our team is continuing to innovate on the technology side, from platform enhancements to a new Web site that will be released soon. We're constantly bringing new features into production that efficiently enhance the resident experience. That said, the current economic and regulatory environment is affecting our normal leasing and collection practices. However, we are confident in our ability to continue to capture the wave of demand and quickly adapt to any changes that may come. Lastly, while Chris will provide more details later, I would like to share a few thoughts on our 2021 operational guidance. Our outlook is bullish but it is also balanced with caution given the lingering COVID uncertainty. Demand and occupancy continue at record levels with January same home average occupied days of 97%. However, as we progress through the year, our physical occupancy may be effected when our collection practices return to normal. With that in mind, we expect 2021 same home occupancy to be equal to or slightly ahead of 2020 on a full year basis. For rental rates, January continued to set records with new lease spreads of over 8%, renewal lease spreads in excess of 5% and blended lease spreads in the mid 6% range. And we expect our pricing power to continue throughout 2021 with full year blended leasing spreads in the 5% range. Please note, that the pull through of our record leasing spreads will be muted until we burn off last year's April to July 0% renewables. As such, we expect our leasing spreads to translate into full year average monthly rental rate growth in the 4% to 4.5% range. For baseline repairs and maintenance and turnover expenditures, we expect increases in the 4% range. On top of this, we expect continued impact to charge back collections as well as slightly elevated near term turnover costs, when our collection practices return to normal. I'm excited about our future. Our superior operating platform uniquely positions us within our industry to capitalize on the surging demand and the growth opportunities that come with it. Now, I will turn the call over to Jack.
Jack Corrigan: Thank you, Bryan and good morning, everyone. As Dave mentioned, the external growth is a top strategic priority of ours, growth to help address the ongoing national shortage of housing, growth to satisfy the demand for rental housing brought on by changing homes preferences and migrational shifts and growth that is cash flow accretive and generate long term value for our shareholders. While we focus on growth, we expect the 2021 transactions markets present both opportunities and challenges. From an opportunity perspective, new investment possibilities may arise from changes to MLS market conditions, foreclosure activity and distressed market outcome. Strategically, our three pronged growth program, combined with our balance sheet strength, allows us to be nimble, flexible and opportunistic as attractive deals arise. From a challenge perspective, although, pricing on traditional MLS inventory and national builder opportunities is driven higher by surging demand and record low interest rates, we continue to buy opportunistically from these channels. But most importantly, our AMH development program continues to provide superior returns relative to these other channels. Years of strategic investment into our programs has given us full control and protection from near term market conditions. The bill for rental opportunity has caught fire. Over the past few quarters, many investors and home builders have rushed into the space, further validating and recognizing the investment opportunities. While others are playing catch up, we have the foresight and thought leadership to pursue this concept many years ago. Most importantly, not only does it provide full control and certainty around a significant source of portfolio growth, it also has several unique advantages that are difficult, if not impossible, to replicate. First, AMH is the only national home builder with the unique combination of both the best in class operating platforms and industry leading development programs. Second, our vast amounts of data captured from all sides of the business allow us to continuously analyze and strategize to build our products and run our business in the most efficient way. Lastly to pursue development in a significant way takes the fortress balance sheet and a clear vision for long term capital that others may not have. We are proud of our development program and its growth to date. More importantly, we are excited about its future and benefits it will bring to our company and shareholders. Our outstanding fourth quarter is a great example of our momentum. We added 563 homes to our wholly owned portfolio, exceeding our overall expectations for the year. On a full year year basis, despite some COVID delays, we added over 2,100 homes to our wholly owned portfolio, of which over 50% were from our AMH development program. The AMH development program delivered a total of 16,047 homes for the full year of 2020, exceeding the midpoint of overall expectations by nearly 100 homes, and demonstrating explosive growth of nearly 80% over 2019. In 2021, we expect the ramp to continue as we plan to deliver between 1,900 and 2,200 homes from our AMH development program to our wholly owned and joint venture portfolio. This represents approximately 25% growth over 2020. To round out our other growth channels, we continue to be active but have reasonable expectations. Chris will provide more details in a moment. In closing, I am proud of our execution in 2020 and continue to take advantage of the differentiation from our one of a kind a AMH development program, and we are well positioned in 2021 to remain opportunistic and accelerate growth tremendously. Now I will turn the call over to Chris.
Chris Lau: Thanks Jack, and good morning, everyone. I'll cover three areas in my comments today; first, a brief review of our quarterly results; second, an update on our balance sheet; and third, I'll close with an overview of our 2021 guidance. Starting off with our quarterly results, we closed out 2020 in record breaking fashion; generating net income attributable to common shareholders of $27.1 million or $0.09 per diluted share; $0.31 of core FFO per share in unit, representing 7.3% growth over prior year; and $0.28 of adjusted FFO per share in unit, representing 7.9% growth over prior year. Underlying this quarter's strength was the record breaking leasing results that Bryan discussed, which drove an impressive performance within our same home portfolio where we generated 4.8% growth in rental revenues, which was further benefited by 30 basis points of contribution from higher fees and partially offset by 160 basis points of drag from COVID related bad debt, translating into an overall 3.5% core revenue growth, coupled with 4.2% increase in core property operating expenses, this translated into core NOI growth of 3.2%. However, normalizing for COVID related bad debts, our same home core NOI growth would have been over 5.5%. And on the topic of bad debt, our collections remained consistently resilient throughout the fourth quarter, resulting in quarterly bad debt of 2.5%, which was right in line with our expectations. Next, I'd like to turn to our balance sheet, which has never been stronger, ideally positioning us as we step on the gas for growth into 2021. At the end of the quarter, our net debt to adjusted EBITDA was just 4.4 times, which is meaningfully below our internal leverage target of 5.5 times, providing us with nearly $700 million of incremental debt capacity to fuel our growth programs throughout 2021. Additionally, at the end of the year, we had $137 million of cash and our $800 million revolving credit facility was fully undrawn. Also during the quarter, we sold 188 properties, generating approximately $45 million of net proceeds. Next, I'd like to share an overview of our initial full year 2021 guidance, which reflects our bullish outlook, balanced by conservatism, given our expectation for continued COVID uncertainty. With that in mind, for full year 2021, we expect to generate between $1.22 and $1.28 of core FFO per share in unit. At the midpoint, we're expecting an industry leading annual increase of nearly 8%, which also represents our strongest full year growth since our operations have stabilized in 2016. Supporting our range are the following assumptions. For our same home pool, which will include between 47,000 and 48,000 properties, we expect core revenue growth between 3.25% and 4.75%, which as Bryan already covered, is based on our expectation for continued strong occupancy similar to or slightly better than 2020 and average monthly rental rate growth in the 4% to 4.5% range. Included within our core revenues growth range is a full year 2021 bad debt assumption of 2.5% to 3%, which contemplates our expectation for ongoing COVID uncertainty, surrounding the macro economic and regulatory environment. Additionally, please remember that our revenue growth will likely be lumpy throughout 2021, based on the timing of prior year bad debt comps, the waving of late fees between April and July of last year and the muted pull through of recent spreads to revenues as we burn off last year's April to July 0% renewal period. On the expense side, we expect same home core property operating expense growth of 4% to 5.5% percent, driven by property tax growth of 4% to 5%, which is roughly consistent with 2020 and 4.5% to 5.5% combined increase on all other expense line items, which reflects Bryan's earlier commentary surrounding our expectations for continued COVID impacts to tenant reimbursement bad debt and turnover costs. And as bottom line, we expect 2021 same home core NOI growth to be between 2.75% and 4.25%. Additionally, as Dave covered in his comments, external growth is one of our top strategic priorities and a key driver of our industry leading 2021 core FFO growth expectations of nearly 80%. Executing on that objective, we expect to invest between 1.2 billion and $1.6 billion of total capital into our combined growth program this year, adding approximately 3,500 homes to our wholly owned and joint venture portfolios, including 1,900 to 2,200 homes is expected to deliver through our AMH development program. As some additional color, at the midpoint of our expectations, this represents $800 million or 2,700 homes added to our wholly own portfolio, which we expect to be split roughly 50-50 between our AMH development program and our other acquisition channels, $300 million of continued investment into our wholly owned development pipeline and $300 million of joint venture investment activity, of which we hold 20% economic interest that will consist of approximately 750 homes delivered through our AMH development program, as well as continued investment into our joint venture development pipeline. To recap, as part of our total 2021 capital deployment plan, we expect to invest between $1.1 billion and $1.3 billion of AMH capital, consisting of our wholly owned inventory additions and development pipeline investments, as well as our pro rata share of our joint venture investment programs. And from a funding perspective, we expect to fund this year capital program through a combination of balance sheet cash, routine cash flow, approximately $100 million of recycled capital from our disposition program and leverage capacity from our balance sheet. And before we open the call to your questions, I'd like to reiterate our excitement heading into 2021. Over the years, we've remained committed to our differentiated strategy, focus on cultivating a diversified portfolio in high growth markets, building a best in class operating platform with industry leading fully adjusted EBITDA margins, a multi channel growth program, which now leads the industry as the largest builder of single family rental homes and the fortress investment grade balance sheet. Our strategy and years of investment continue to pay off as we enter 2021 positioned to deliver another year of industry leading core FFO growth. And with that, we'll open the call to your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session [Operator instructions]. Our first question come from the line of Nick Joseph with Citi.
NickJoseph: How do you think about the stickiness of your tenants as the vaccine is rolled out, people start to return to the office and then maybe a reorganization occurring?
BryanSmith: We're getting great feedback from our residents, especially those that are moving across state lines. We talked a little bit in my opening remarks about the migration patterns. The feedback that we're getting is that they're very happy with the extra space. I see a lot of this as a fundamental shift. Comments from -- we just outgrew apartments. We didn't see that there was such a quality of life difference. So I think the work from home is going to be here to stay in some shape or form, but the people are really excited about kind of this new product that they may not have had access to in California, but they can find in Nevada, as an example.
NickJoseph: And then, Chris, just on the balance sheet or capital plan. You have a couple of preferreds that are able to be redeemed in 2021. So what's the plan for those Series B and [Series E] preferreds, and then how do preferreds play into the capital stack going forward?
ChrisLau: Nick, I think we may have cut out just a bit, but I think you're asking about the preferreds and how those may fit into the capital stack and thoughts there, if that's right. Is that your question?
NickJoseph: I mean, specific to the ones that are actually coming due in 2021, or how it is able to be redeemed?
ChrisLau: You're exactly right. We had two series of preferreds for approximately $500 million that become callable during the second quarter of this year. Both of those series, our Series B and Series E have coupons in the low to mid 6s, which means that as we step back and think about it, virtually all forms of our cost of capital screen very attractively relative to those coupons. With that said, and I think our decision on that front will be very much market dependent and probably a little bit too early for us to speculate at this point on what the strategy there will be. But again, I would say that virtually all of our cost of capital screen attractively and we'll keep everyone updated as we get closer to those call dates.
Operator: Our next questions come from the line of Rich Hightower with Evercore ISI.
RichHightower: So I wanted to talk about input costs in the development pipeline. I think last quarter, given the spike in lumber prices, you mentioned that it adds around $15,000 per home when that sort of spike happens. Just curious if there's a rule of thumb that we could think about in terms of how to forecast that going forward and the impact on going in yields, how you guys think about it? Thanks.
JohnCorrigan: It's recently spiked again and we're seeing about the same cost increase. Fortunately, we've been in a rental rate growing environment and that has kept that yield neutral. So the yields have stayed about the same.
RichHightower: And just a follow-up on your development. As we think down the road, five years, 10 years, what have you. Is there anything unique about these homes that might make them, say, less desirable to an end user, a traditional home purchase, anything about the communities or the homes that we should consider?
JohnCorrigan: No, I don't think so. If we decided at some point to sell them individually and they're individually plated, so we could. But if we decided to sell them, I think they'd be very desirable. They're desirable to ramp. I think they'd be desirable to acquire. If cap rates stay the same, we're seeing those -- a couple of the communities have traded in the mid 4% range on cap rates. So I don't foresee that occurring where we'd be selling them, but anything is possible. And the other thing is we have an older community in our Winston Salem market and it's very desirable for both. It was originally a rental community, and we own, I think, 165 of the 186 homes and we try to buy the other 21 from individuals, and they don't want to sell. So I really don't see it being undesirable to somebody who wants to live there.
DavidSingelyn: Let me just add a couple of things. When we talk about how we build our rental homes, we actually build them to a better standard than an entry level home would be built. We do that because of the long term maintenance and the long term wear and tear on the house. But we are putting in enhanced features. We're putting in better countertops, better plumbing fixtures. And the way we build the house is slightly better. All of those construction, I guess, adjustments that we've made to a typical entry level home are going to make these homes as desirable, but more likely, more desirable than the traditional housing stock.
Operator: Our next question is come from the line of Rich Hill with Morgan Stanley.
RichHill: Chris, maybe this is a question for you, and I appreciate your prepared remarks about bad debt and the disclosure last night. But I wanted to maybe just understand a little bit more because there was a lot of bad debt last year. And so for it to remain elevated this year suggest that maybe it's even building a little bit more. So as we think about the cadence of that bad debt, could you maybe just break down a little bit more how we're supposed to think about it in the first half versus the second half of the year? Because I got to think at some point that that is no longer a headwind.
ChrisLau: And not only is eventually going to not be a headwind, we would expect it to flip and eventually become a tailwind. And again, I would just reiterate that the business is performing phenomenally. And I would view -- our view and guidance on bad debt as being a reflection of the fact that there's still plenty of COVID uncertainty ahead, which has the potential to continue to headwind collections that none of us can predict. And so our view there is that we are prudently and conservatively building in that 2.5% to 3% on a full year basis. I would reiterate also that so far, collections are continuing to remain resilient and on track with prior pandemic periods through the fourth quarter and even into the beginning of '21. In terms of the shape of that bad debt in '21, again, I think I’d reiterate my point that none of us know for certain. We do think that there will be a return to normal at some point, and that will create less of a headwind and eventually flip to a tailwind. At this point and how would I think about that shape of bad debt on a full year basis, I could envision a scenario where wherever bad debt lands on a full year, we can envision a scenario where there is more weightedness, if you will, to that bad debt in the first half of the year than the second half of the year. But again, as this point, it’s impossible to speculate on that exact timing.
RichHill: So you have to model it out. Dave, I want to come back to you real quickly. One of the things that I think the equity market is trying to understand a little bit more is the demand side of the equation and frankly, how many homes is realistic. We live in a really weird equity market where it wants acceleration and therefore, really great but stable growth isn't good enough anymore. So I'm really asking a question about your FFO growth, which looks really attractive in 2021 versus 2020. How sustainable is that and how much is that going to be driven by you just increasing the pie and how much do you think it can increase the pie on a year over year basis over the next several years?
DavidSingelyn: There's a number of factors that go into growth. And what we have been focused on for many, many years, as we've had previous discussions, is looking far out into the future. And so growth is basically dependent on access to capital and then access to product. And we have been putting ourselves in position for significant growth down in future years. When we went through the prepared remarks, we talked about the fact that we are significantly building our inventory in land. We went through a period of time that we tested the build for rent concept, got comfortable with the build for rent concept and now we are starting to acquire land. Today, we control 10,000 lots. We're going to control many more lots by the end of the year. That's our future deliveries. We can't do a lot about 2021 deliveries from development. We can from the other acquisition channels. And we have the balance sheet to take advantage if those channels open up more than they are today. Today, there is a supply limitation in that area. We do underwrite many, many homes. But as COVID unwinds and people start showing their houses in more normalized numbers and if the retail side of the homebuilders softens a little bit and more become available, we are there to be able to take advantage of those opportunities. But we have the balance sheet that we can expand. We have very good currency. We have $700 million or more of capacity on our debt facilities today before we are concerned about hitting our internal target of 5.5 times EBITDA, we have significant amounts of retained cash flow. So we have the capital. We are building the land inventory for accelerated growth in future years. So you're going to see more development in 2021 than 2020. But the real excitement to me is what we are seeing in the 2023, 2024, that's where we're going to have very, very significant inventory that is going to come to market. But we'll be very active between now and then as well.
Operator: Our next question is come from the line of Jeff Spector with Bank of America.
JeffSpector: First, congratulations on a great year. I wanted to focus on development, the growth, and it feels like each week, we continue to hear about a new entrant into the sector, again, specifically on the development side. And Dave, I very much appreciate the disciplined approach your company has had on the limit of how much you want to develop as a percent of the balance sheet. I think you mentioned 5%. But I guess, can you share with us your thoughts on potentially expanding that I mean, internally or with your board, as you talked about increasing that at this point, or online, you really feel strongly about staying disciplined?
DavidSingelyn: Yes, let me clarify the 5% to start with. The 5% was not what we are targeting for growth, that's what we are targeting to hold on our balance sheet in the form of land that is basically in inventory as land. It’s just kind of an asset allocation from -- that's a non productive asset that we're holding. As fast as we can build them, we're going to turn them through. And there's a number of different ways that we can actually control more land than what we actually hold on our balance sheet. Although, we're not there yet. The growth side is really a couple phased process. We have proof of concept, proof of ability to do it. And now we are in what we talked about is the grow, grow, grow phase, and it starts with acquiring land. And we have targets for our land acquisition. But if our teams can find additional land than what the targets are, we will be taking all good land that we can find for future deliveries for future growth. So we're not putting a limitation on that. We will find means to acquire that. The second part of your question, I think, was about many other entrants coming into this market. There is. I guess it's a little bit of a validation of what we have done to date that it's working and people want to copy it. But it's a very difficult thing to copy. We're the only company right now that has both an operating platform that's tied to its development platform, that is a feedback circle that's very, very important to the development process because that feedback circle allows us to build a better house for rental. And without that, some of the things that we have done, you may miss. But it also gives us the ability to -- it's just synergistic benefits. It helps our maintenance side from our development side, et cetera. So we're the only company that combines the two. We have many year head start on others in building the land inventories and the infrastructure necessary to build homes. And I just like our position where we are today. And as you indicate, we are looking to not be at 1,600 or 2,000 homes, we're looking to really build this. But it's really exciting about the years ahead. 2021 is a great year with 8% growth. But I think the years past that will be even more exciting.
JeffSpector: And then my one follow-up question is on rental rates. Kind of been covered the sector for many years. Initially, you and your peers were somewhat sensitive to how far you can push rate and I think the past year, you've exceeded expectations. I mean, is there still a level where you need to be somewhat sensitive to how far you're pushing rate or at this point that's no longer a concern?
BryanSmith: I think there's a couple of parts to that question. The fantastic rate growth that we've seen is a function of the demand that we've been talking about. It's extremely pronounced. Normally, we were very seasonal and saw great demand during certain months around the summertime, that's extended throughout the entire year. Our retentions improved, so the market's gotten even tighter. And we've really capitalized on that on our re-leasing rates. So there's no internal kind of cap on how we're going to handle re-leasing rates, it's really a function of the market, our premarketing efforts and the quality of the turns that we're putting out. The re-leasing rates are fantastic. They're continuing to accelerate into 2021. And we're seeing really, really good growth there. On the renewal side, there is a slight difference and there's a little bit more sensitivity in terms of what you're offering on the renewal rates to the existing residents. We've seen fantastic growth there. We're looking at really high rates compared to historical, but they're not being pushed quite to the same limit for a number of different reasons. So I hope that answers your question. We're very excited about the growth that we're seeing in the re-leasing rates and also pretty happy with the renewal rates and the retention rates that accompany them.
Operator: Our next question is come from the line of Haendel St. Juste with Mizuho.
HaendelJuste: So I guess, first, going back to the development guidance and the 2,000 homes you're planning to deliver this year, you mentioned that yields should stay the same. But it looks like you've been getting well north of your 6% yield target on this latest batch of delivery. So can you speak to the yields, more specifically, what was achieved here in fourth quarter 2021 overall, and if 6% is still the right bogey? And then a bit of color, a bit more specificity into what level of cost inflation is built into the underwriting for labor and material costs for the 2021 deliveries? Thanks.
JackCorrigan: Yes, we are we are seeing rate growth, as Bryan has mentioned. So we're leasing above our pro forma rental rates. So we're likely getting higher yields. Right now, I can really only talk to the gross yields, because the expense part of it hasn't totally played out. Generally in the first year or two, you get a little benefit because we underwrite property taxes as if they've already gone up to the value of the house. And sometimes, it takes a year or two or even sometimes three for the municipalities to catch up. So I'd be overstating the yields, if I said -- but they were, plus you're not going to have turns so you don’t have turn costs. And so you really have probably three or four years before you have actually really good data on the cost side, or on the expense side. On the cost side, we're seeing, like I said, lumber going up. In terms of labor and other costs, they're going up pretty much with inflation. But we're actually seeing a slight decrease because we've gotten more efficient the larger that we've gotten . And so we're actually seeing a little bit of benefit on the cost side other than lumber. And obviously, land is going up. The land has accelerated recently and we haven't really produced any houses with that land on it. But we underwrite at the land cost because that's what we paid.
HaendelJuste: And what's the average [concession] in the lease-up of the new homes here. Understanding that could vary by market, but just curious overall, what's a good rule of thumb here.
JackCorrigan: The average concession is zero.
HaendelJuste: Easy math…
BryanSmith: We've had fantastic results on the new communities. We haven't had to resort to concessions or any excess commissions or incentives to lease these up. In fact, it's been the opposite. A lot of these communities are pre-leasing at a pretty rapid pace.
Jack Corrigan: Haendel, we have in the past, when we weren't quite as educated on how to build these things, we were building some back to front and people were having to drive through construction zones to get to their homes. And so we did offer some pioneer pricing at that point. But we’ve learned our lesson and everything since probably 2017 has been front to back and not creating those problems for our residents.
HaendelJuste: And a follow up on turn times and days to release homes. Can you talk about where those sit and where do you think that opportunity to get those to by the end of 2021? Thank you.
BryanSmith: We've seen really nice improvement on our turn times. We call it cash to cash from payment on move out to payment on move in. We're in the high 30s now, down from the 50s in comparable periods in the past. A big gain there is on the compressed marketing period because of the heightened level of demand. But we have become more efficient in preparing these homes for re-lease as well. So we're sitting in a time, like I said, in the high 30s that has some room for improvement, but not a ton. There's a function, too, that we are pushing rates pretty hard on re-leasing at the start. So that's why they're not even in the low 30s. To summarize, there is opportunity for improvement, but we've made fantastic gains over the past year or so.
Operator: Our next question is come from the line of Rick Skidmore with Goldman Sachs.
RickSkidmore: Chris, I appreciate all the color on the guidance. But just trying to figure out how much conservative is built in to the expectation. Because if you build off that $0.31 fourth quarter number, you're essentially the midpoint of guidance and you're talking about 2,000 new homes in the development pipeline, all of the rent rate. Can you just talk a little bit about what would be incorrect in sort of annualizing that fourth quarter number or what doesn't repeat in the fourth quarter that -- what's that core FFO guidance in that $122 million to $128 million range? Thanks.
ChrisLau: No, I think you used the right word. Our guidance is intentionally conservative given the uncertainty ahead, largely in the bad debt area and the fact that we are assuming 2.5% to 3% on a full year basis. And look, I'm hopeful and optimistic that we will be able to beat that, but we just don't know at this point. And given the uncertainty, we think that that's the prudent position to take. And so really, that is the primary area of conservatism built into our guidance and the fact that we're holding that on a full year basis.
DavidSingelyn: And the other thing to keep in mind when you're doing modeling and trying to annualize the fourth quarter. The business is still seasonal, maybe not as seasonal as we saw in the early days, but still seasonal. And expenses do not flow equally through the year because they are tied to more of the leasing and turn activity, which is heavier in the second and third quarter. So fourth quarter and first quarter historically have always been much stronger than second and third just because of the normal seasonality. Keep that in mind, annualizing the fourth quarter doesn't necessarily give you the right results for the entire year.
RickSkidmore: And then just on the development, just a follow-up there, just in terms of the pacing of deliveries. How should we think about the pacing of that delivery of those 2,000 homes through 2021? Thanks.
JackCorrigan: Yes, it's going to be more ratable over each quarter. There will be a little more delivered in the second and third quarter. So we meet the high demand for that period of time and probably a little less in the first and fourth. But there's not going to be the spikes that we've seen in the past or valleys.
Operator: Our next questions come from the line of Jade Rahmani with KBW.
JadeRahmani: With all the time, efforts, knowledge, expertise, experience that's been put into, not only the operational platform, but also the built to rent business. Are you interested in adding a new dimension to the revenue stream, which could include a for sale homebuilder operation where you develop or to sell these communities? And then this last quarter the [Indiscernible] and sold, they built the [rent] community for something like a 44% gross margin, very high return on capital. And secondly, along with that, could you attach property management and create a long duration stream of revenues that [Indiscernible]? Because I know that the homebuilders have explored this business and one thing they do not have is the in place workforce that AMH has with, I believe, probably about 65% of work orders at this point are done in house. So two revenue streams that would add value to shareholders and be balance sheet light, make a more efficient operation and accelerate growth. Is that something that you're looking at?
BryanSmith: I would say, yes, we are considering a number of different avenues of ancillary business. And until we're ready to launch it, I don't think we're prepared to talk about what they are. But I think you did a very good summary of what the opportunities are out there, and it's kind of the same way we would see it as well.
JadeRahmani: Certainly seems like an attractive opportunity. Second question would be the discrepancy between bad debt expense and high rent growth. Do you just consider that to be a latency effect, which would mean, in essence, that you're upgrading your tenants. The newer tenants [have] more resiliency in terms of their ability to pay because they are coming in post COVID with the higher demand level for these homes and it's just a matter of turning over this portfolio, which has about a 30% turnover ratio. So over a three year period or maybe more, based on the economy, bad debt would normalize. Is that really what explains the distinction between the bad debt and the higher rent growth or what else would you attribute it to?
ChrisLau: No, I think directionally, that's the right way to think about it. I don't know that I would use necessarily the word upgrade. But you can absolutely keep in mind that for each new resident household that's coming into the portfolio, there being freshly underwritten and coming into the portfolio new. So absolutely consideration there. I think we're optimistic that it's not going to be three years of a churn, if you will, to work through this level of bad debt headwind. And keep in mind, we are very, very intentional about working with each one of our residents and finding the right outcome for them if they experience any type of COVID impacts. And so we're doing everything that we can. Bryan and the team are doing a great job working through each one of our residents to get through that churn. Again, I don't see it being a three year time line. And I think that, that's the right way to think about it as we continue to work through this year or so ahead, we will work through those residents comprising above average, above normal levels of bad debt and should see that come down over time with new freshly underwritten tenants coming into the portfolio.
DavidSingelyn: I would add that the elevated bad debts are not a -- this is a temporary and a unique situation tied to the pandemic, and this is not a long term ongoing event. And it will reverse and it will revert back to the levels that we saw pre pandemic in the 1% or sub 1%. And the tenants that are affected by the pandemic aren't all necessarily lower grade tenants. Many of them just had some unfortunate situations. And we are working with them. And I would expect a number of them will remain tenants and be very, very strong tenants. But there has been a huge benefit that the pandemic has also given us, and that is what you have seen in this enhanced demand. It's not that anything has changed. It's just the spotlight has been on the value proposition that you get from single family rental living. And now more people understand that benefit. So I expect the demand to remain very, very strong. I do expect the bad debts to remain in levels that they are today until we have the pandemic kind of starts unwinding, and that bad debt will naturally unwind as well. So I see it as more of a speed bump and an opportunity for us in the future. As that unwinds, it will benefit the bottom line.
Operator: Our next question is come from the line of Sam Choe with Crédit Suisse.
SamChoe: Congrats on the quarter and the year. Just following up on the rental rate growth. I think Bryan mentioned on one of the questions that there are factors on the renewal side that kept amount you can raise on rent. So despite strong leasing activity, I'm just curious to know if there are potential limitations, such as HOA rental restrictions or some other factors we need to be mindful of?
BryanSmith: The only restriction on renewals that is legislative is in the state of Washington, which is capped at 0%. What I was referring more to was really the way that we're interacting with our residents or long term relationships that we have with them and the reasonableness of these annual increases. There's a big benefit to our improved retention. And we're not marking our renewals to market that would dramatically increase our move outs. We've tested certain things on the renewal side, but there is a little bit of a gap right now between renewal and re-leasing rate growth.
SamChoe: Just on the property additions that you did in 2020, I'm seeing that you had 120 homes in your all other category, which make up around 15 markets, I think. What are your plans going forward on speaking about building density in those areas? Because from what I’m seeing your portfolio additions have been mostly making the strong scale market business better.
JackCorrigan: We are growing some of the other markets that we didn't gain as much scale in early on. Boise is a perfect example. They're seeing a lot of in migration and good rate growth and property value growth. And I think we didn't add that many last year to Boise through the development program, is about 25, but we have 503 lots there for future development. So I expect that to come out of the other category eventually. And there's a couple other markets where I would expect them to come out of the other category eventually.
Operator: Our next question comes from the line of John Pawlowski with Green Street Advisors.
JohnPawlowski: Jack or Dave, on some of your competitors built to rent comes, do you expect over the next few years to be a consolidator of the early vintages of these built to rent and communities, or is pricing too aggressive?
DavidSingelyn: I will say that's a wait and see as to what the pricing will be. We're acquirers of all opportunities that makes sense for our portfolio, both from a location standpoint and a quality of asset standpoint, but also a pricing standpoint. I do know that there are a number of people looking at built to rent and that they are building homes and they're finding it difficult to manage. So those opportunities may become plentiful in the future. And if they are priced at a reasonable price, yes, we'll be looking at acquiring those.
JohnPawlowski: And then, Bryan, a question for you on re-leasing spreads. I take a look at markets like Phoenix, up 17%. Is revenue enhancing CapEx do you see in any of these markets or could we interpret this as organic growth?
BryanSmith: Most of it is organic growth. The revenue enhancing CapEx component is still small, probably contributing in the neighborhood of 20 to 30 basis points to that rate growth. But we are very happy with the results of that program. The fantastic outsized rate growth in Phoenix is still continuing into this year. We have other markets that are equally hot, so to speak, the organic growth though is the major contributor to that.
Operator: Our next question is come from the line of Dennis McGill with Zelman & Associates.
DennisMcGill: First question, just on the land side. You had mentioned, I think, controlling about 10,000 lots a day and then that was going to go to, I think, 11,000 to 13,000 by the end of the year. Can you just provide a little detail on the structure of the control to how much of that done versus option and what you're finding with respect to also on developed versus products that are just what you're finding with respect to bidding an incremental or signing those incremental contracts today from a land inflation? Thanks.
JackCorrigan: So in terms of the additional 3,000, we show 7,000 that we own on the balance sheet. There's an additional 3,000 homes in escrow. We have not used options yet. We probably will at some point. So we expect to add to those 10,000 lots controlled. We expect to deliver about 2,000, bring it down to 8,000 and buy another 4,000 during the year. I expect that we'll get more sophisticated on our lot acquisitions or controlling lots as necessary.
DennisMcGill: What's been the hesitation with using option contracts thus far?
DavidSingelyn: To date, we haven't needed to. We've had capacity on our balance sheet. But now that we -- and we were in more of an early phase of doing proof of concept and getting the infrastructure in place. Now that it's being ramped up, option contracts are being -- we are in a number of discussions today about option contracts. So I think it's not a hesitation. It's just where we are in the life cycle.
DennisMcGill: And then a separate question. I think the number you had mentioned on applicants from out of state was up, I think, you said up 30%, but I wanted to clarify that. And then if you have also the share of application from out of state both this year and the year ago period?
BryanSmith: Yes, I mentioned -- so I kind of added a new metric on my prepared remarks. The growth in 30% were from people coming from non AMH portfolio states to kind of eliminate the noise of someone moving from South Carolina to North Carolina and that's up 30% year-over-year. So it's over 10% of our applicants are coming from non AMH states.
DennisMcGill: And Bryan, how would that have compared to a year ago this year?
BryanSmith: A year ago in the 7s, over 10%.
Operator: Our next questions come from the line of Ryan Gilbert with BTIG.
RyanGilbert: Just one question for me regarding turnover. And Bryan, I appreciated the commentary you made around the stickiness of your tenants. I think in the prepared remarks, you mentioned that turnover expenses might tick up a bit in 2021. And it looks like the January average occupied days did tick down a bit from fourth quarter of 2020. So I'm just wondering, year to date what you're seeing regarding turnover and move outs in your portfolio and how you think that trends as we go through the year?
BryanSmith: At the start of 2021, it's really a continuation of fourth quarter, any movement would be very slight in terms of occupancy. Retention remains strong. I think specifically in the prepared remarks, I was referring to the additional turnover costs when collection practices return to normal. So you're going to be trading a little bit of occupancy and some heightened costs for improvements in bad debt in the long term. We're not exactly sure when that's going to happen but we wanted to make sure that we were being cautious in including that in our expectations.
Operator: Our next question is come from the line of Keegan Carl with Berenberg.
KeeganCarl: So just a quick one for me. I'm kind of curious on your thoughts on eviction moratoriums long term. There's some news flow last night about the CDC moratorium being unconstitutional, and that states should have the final say. If this kind of happens, do you see any specific state in your portfolio that would have a material impact as a result of this?
DavidSingelyn: You're very up-to-date on what's occurring. Yesterday, the eastern district of Texas, the district judge did declare the CDC event or the CDC moratorium unconstitutional. It only impacts the eastern district, which actually we have very, very few properties. And it's really in Northern Dallas, in the Plano market, that's the only place we have properties. Doesn't impact Dallas, it doesn't impact Fort Worth, Austin or San Antonio at this time. But regardless, I think the overall eviction discussion is evictions for our entire time that we've been a company have been a means of last resort. And we talked about in prepared remarks and Bryan's talked about here in some of the comments about having good relationships with your tenants and being able to work out the issues. And hopefully, we can do that with anybody who has got a valid COVID impacted tenancy. And so I think there will be a time where the COVID period starts to unwind in many ways in this economy, and we'll get back to normal. And how the evictions play into it, we'll see at that point. But I don't really foresee any major changes in the short term and maybe not even in the long term. We'll use eviction very, very sparingly in collection process.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to David Singelyn for any closing comments.
David Singelyn: Thank you, operator, and thank you to all of you for your time today. I'm excited about the opportunities we talked about to drive growth for our shareholders this year and more importantly, for the years to come, and we'll talk to you next quarter on this call. Thanks again. Bye, bye.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this. Have a great day.